Operator: Good morning, and thank you for standing by. [Operator Instructions] This conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the call over to John Brooklier. You may begin.
John L. Brooklier: Thank you, Kathy. Good morning, everyone, and welcome to ITW's second quarter 2012 conference call. As is our normal practice, our CEO, David Speer; and CFO, Ron Kropp, have joined me to discuss our Q2 financial results, as well as update us on our longer-term strategic initiatives. Here's a quick agenda for today's call. David will shortly provide a brief update on our ongoing long-term initiatives, as well as second quarter highlights and commentary on our second half forecast. Ron will cover our Q2 financial results in more detail. I will then talk about our Q2 geographic performance and segment results. Ron will then come back and provide a detailed update on our Q3 and full year forecast. Finally, we will open the call to your questions. [Operator Instructions] As normal, we have scheduled 1 hour for today's call. This presentation contains our financial forecast for the 2012 third quarter and full year, as well as other forward-looking statements identified on this slide. We refer you to the company's 10-K for 2011 for more detail about important risks that could cause actual results to differ materially from the company's expectations. Moving to next slide. Let me remind everybody that our telephone replay for this conference call is (888) 566-0396. The playback number will be available through midnight of August 7. Now let me turn the call over to David, who has some brief introductory comments. David?
David B. Speer: Thank you, John. Before I comment on our strong second quarter results, let me update you on our 3 long-term initiatives that we introduced to you all last quarter. To remind you, our 3 key areas of focus going forward are: business structure simplification, strategic sourcing and portfolio management. We continue to make good progress in all 3 categories. For business simplification, we've been actively developing and communicating our plans to key internal and external constituents. Internally, a host of our businesses have reviewed and are in the midst of announcing organizational changes to support our larger revenue base businesses, consolidated organizational structure where appropriate and focused on similar customers and end markets, while maintaining the intimate customer market interfaces critical to our innovation initiatives and business agility. In strategic sourcing, we have made key decisions regarding the sourcing approach in organization, as well as identified the first and second phase of direct and indirect sourcing activities. As to portfolio management, part of our strategic planning process is the identification of noncore businesses that no longer fit our long-range plans, a number of which could likely be divested in the future, as we have done been recently with the finishing businesses and 2 consumer packaging businesses. We will continue to develop and implement these plans as we move forward. As promised, we intend to provide some enterprise-wide data by December that will begin to quantify the financial impact of these initiatives over the next several years. Now let's move to our second quarter results. We were very pleased with our strong second quarter operating performance despite end markets slowing in a variety of international end markets and the significant currency headwinds we faced in the quarter. Thanks our differentiated 80/20 operational focus, our business has produced very strong operating margin improvement in the second quarter due to excellent management of input and overhead costs. We also continued to return significant levels of cash to our shareholders through our share repurchase program, as well as our strong dividend payout. Looking ahead to the second half, 2012. We lowered our EPS forecast range, given the ongoing negative impact of currency translation and the expected continuing sluggish demand in the international end markets, as well as additional restructuring expenditures that will now total over $100 million for the year. Ron will cover our forecast in more detail later in the call. Now let me hand it over to Ron, who will talk about the strong second quarter performance. Ron?
Ronald D. Kropp: Thank you, David, and good morning, everyone. Here are the highlights for the second quarter. Revenues increased 0.9% due to higher base and acquisition revenues, offset by the unfavorable impact from currency. Operating income was $770 million, which was higher than last year by $59 million, representing income growth of 8%. Operating margins of 16.5% were 110 basis points higher compared to last year. Diluted income per share from continuing operations was $1.11, which was close to the midpoint of our range. Finally, free operating cash flow was $409 million for the quarter. Now let's go to the components of our operating results. Our 0.9% revenue increase was primarily due to the following factors. Base revenues were up 2.3%, with North American base revenues increasing 5.3% and mixed international base revenues that overall were down slightly year-over-year. John will discuss the geographic mix in more detail later in the call. Acquisitions net of divestitures added 3% to revenue growth, and currency translation decreased revenues by 4.5%, largely due to a weaker euro. Operating margins for the first quarter of 16.5% were 110 basis points higher than Q2 2011. Base margins increased 150 basis points with higher sales volume contributing 60 basis points. The positive impact of non-volume items increased base margins by 90 basis points versus last year, primarily due to 60 basis points of price cost favorability. In addition, margins were lower by 40 basis points due to the dilutive impact of acquisitions. The net operating margins from acquisitions, excluding amortization and other acquisition accounting, were 14.4% for the quarter. Overall, despite uneven market demand, we had a strong second quarter earnings performance, reflecting our decentralized operating model, which allowed us to react quickly to market conditions, as well as our established 80/20 operating discipline. Looking at working capital and cash flow. Accounts receivable DSO of 61 days was lower than last year and inventory months on hand declined to 1.8 months. ROIC for the second quarter was 16.3%, which was 70 basis points higher than Q2 of last year. Our ROIC continues to run at our 15% to 17% target range, which is significantly above our cost of capital. The second quarter cash provided from operating activities was $509 million with capital expenditures of $100 million, resulting in free operating cash flow of $409 million, which was $184 million better than Q2 of the prior year. On a year-to-date basis, we have generated $648 million in free operating cash flow, and we expect to generate close to $2 billion in free operating cash flow for full year 2012. Turning to capital structure. Our capital allocation priorities continue to be as follows. Our first priority is organic investments, especially related to our key growth platforms and emerging markets. Examples of organic investments include R&D spending for new product innovation, additional investments in manufacturing capacity and restructuring projects which have long-term margin benefits. Our next capital priority is dividends. During the quarter, we paid dividends of $172 million, and our current dividend yield is almost 3%. Any excess capital after organic investments and dividends are used for external investments, either share repurchases or acquisitions. We evaluate allocation between these external investments based on the best risk-adjusted returns. During Q2, we continued our robust share buyback activity with $526 million in repurchases, which brings us to $1 billion in share repurchases through first half of 2012. As of the end of Q2, we have approximately $2.9 billion of authorized repurchases remaining under our buyback program. In the first half of 2012, we returned over $1.3 billion to shareholders through share repurchases and dividends. In addition, during the quarter, we utilized $106 million for acquisitions, over 80% of which continues to focus on our growth platforms and emerging markets. Our debt levels increased $141 million during the quarter, with our debt-to-capital ratio at 33% and our debt-to-EBITDA remaining at 1.4x. Our cash balance overseas is $1.7 billion, and we have plenty of debt capacity to make additional investments. I will now turn it back over to John, who will provide more details on the operating results.
John L. Brooklier: Thank you, Ron. Before I get to the actual segment results, let me take just a moment to review our Q2 geographic trends. Our total revenue growth excluding currency impact was 5% in Q2, with organic revenues growing approximately 2% versus the year-ago period. And our Q2 results were similar geographically to Q1. North America businesses delivered relatively strong performance in Q2, producing organic revenue growth of 5%. Overall, international organic revenues were down modestly in the quarter. Europe's organic revenues declined roughly 2% and Asia Pacific's organic revenue growth of 2%, while it grew 2%, it still lagged our expectations. And that's mainly due to China's flat organic revenue performance in Q2. Moving to South America, organic revenue declined 4%, and that was largely driven by softness in the Brazilian economy. Now let's move to our segment results. And as previously noted, total company organic revenues increased roughly 2% in the quarter. The biggest organic growth contributors were produced by our Power Systems and Electronics, Transportation and businesses in our All Other segment. Nearly all of our segments contributed to operating margin improvement of the 110 basis points Ron talked about earlier. And notably, we saw the most operating margin improvements in our Food Equipment, Decorative Surfaces and Industrial Packaging segments. Now move to the next slide. And let's do a -- let's drill down deeper into our segments. Please remember that our Transportation segment largely consists of our auto OEM businesses, with smaller revenue contributions from our auto aftermarket and truck remanufacturing businesses. Total segment revenue -- organic revenues grew 3.4% in the quarter versus the year-ago period. In our flagship auto OEM business, again, that was a key contributor to organic growth, with worldwide organic revenues increasing 6%. Notably, our North American organic revenues increased 8% and Asia Pacific grew 24%, thanks to our growing presence with Chinese auto OEMs. Our most notable example of strong product penetration was in Europe, where organic revenues grew 1% even as auto builds declined 7% in Q2 on a year-over-year basis. Moving to auto aftermarket, organic revenues fell 2% as consumer spending slowed in Europe and China, which resulted in negative organic revenue performance in those areas. In North America, the auto aftermarket business produced modest organic revenue growth as discretionary consumer spending continued to be soft. And finally, in our truck remanufacturing business, organic revenues grew 4%, largely due to strong energy development activity in Canada and Western United States and the need for our retrofitted specialty trucks. In our Power Systems and Electronics segment, we continue to see very strong demand from our welding customers, while our electronics businesses saw real improvement in the equipment and assembly side of the business. Total segment organic revenues increased 5.2% versus the year-ago period. In welding, our worldwide organic revenues grew 9%, with North America organic revenues increasing 11% and international organic revenues growing 2%. While our Q2 organic numbers were down from our -- what I'll call our red-hot and unsustainable Q1 performance levels, they still represent very solid growth metrics. We continue to see relatively strong demand from global equipment manufacturers who serve end markets such as oil and gas, mining and agriculture. In electronics, the story was one of improvement, as noted earlier. Worldwide organic revenues for electronics increased 2% in the quarter, with electronics equipment assembly growing 14% due to strong order rates from key electronics customers. Organic revenues for our other component businesses, what we'll call all other in the electronics piece, declined 5% as consumer demand for basic cell phones and computers was weaker. Let's move to our Industrial Packaging segment. Our businesses once again essentially reflected industrial production trends in the major geographies. Our North American performance was stronger and the rest of the world was weaker. Segment organic revenues were essentially flat in the quarter. In aggregate, our total North American Industrial Packaging organic revenues grew 4%, while our total international Industrial Packaging organic revenues declined 2%. In our bellwether Signode steel and plastic strap and equipment businesses that provide end-of-the-line packaging for finished goods, worldwide organic revenues declined 1% in Q2. And by geography, international organic revenues declined 4%, while North American organic revenues grew 3%. And finally, in our stretch packaging business, trends were better. Worldwide organic revenues grew 3% in Q2 largely based on better equipment sales. Moving to Food Equipment. It was once again a tale of 2 geographies, with North America outperforming the international businesses. Segment organic revenues increased a little bit over 1% in the quarter. In North America, organic revenues were up 3%, with equipment sales increasing at a similar level. Equipment sales benefited from an uptick in demand for cooking and slicing products to private sector accounts, including casual dining restaurants and supermarkets. Institutional accounts, such as government, schools and hospitals, continue to be constrained by limited budgets. On the service side, organic revenues grew 2% as the service organization continued to focus on key customers. Internationally, total organic revenues were flat in Q2 as strength in sales to Asian-based customers in Japan, China and Thailand was offset by the weakness in France and Italy. In particular, businesses associated with cooking products for both institutional and government-related customers remained weak in the quarter. Moving to our Construction segment, the decline in demand in Europe and Asia Pacific was enough to offset the better end-market metrics associated with the North American recovery in the residential and renovation construction categories. As a result, segment organic revenues declined about 0.5% in the quarter. Internationally, organic revenues declined 4% in the quarter as Europe and Asia Pacific organic revenues fell 6% and 1%, respectively. In Europe, which was the hardest hit, Construction end markets were hit by a lack of spending by both private and public sector customers, especially in the commercial construction category. For example, accordingly to EUROCONSTRUCT, commercial starts declined 23% in Q2. In Asia Pacific, Australia and New Zealand experienced modest improvement in the residential construction category compared to prior quarters. Now the better news was in North America, as organic revenues increased 8% as the residential, commercial and renovation categories were all positive in the quarter. Residential construction organic revenues grew 13%, while both commercial and renovation construction organic revenues increased 5%. For residential construction, we continue to be more optimistic about additional recovery in housing starts in 2013 and beyond, based on the most recent NAHB housing start numbers of 760,000 units. Moving to our Polymers and Fluids segment, organic revenues were essentially flat as North America produced positive organic revenue growth, while internationally, our European, Asia Pacific and Latin American businesses all experienced and had to deal with slowing end-market demand. In our polymers and hygiene category, organic revenues were flat in the quarter. And that's due to positive organic revenues resulting from China transportation and appliance market, as well as the North American military industrial, and MRO markets were offset by slowing market activity in Europe and Brazil. In our fluids category, organic revenues declined roughly 1%. And this again was due to Europe offsetting revenue gains from our businesses in North America, Russia and India. In our Decorative Surfaces segment, we generated very strong organic revenue performance from businesses in a variety of geographies. Segment organic revenues grew approximately 5% in the quarter. In North America, our Wilsonart high-pressure laminate business produced very solid organic revenue growth of 6% due to ongoing product innovations largely targeted to commercial construction-related customers. Notably, Wilsonart continues to be an industry leader through its premium, high-definition, higher-price-point product that simulates natural stone. And internationally, our Decorative Surfaces businesses generated organic revenue growth of 4%. In Europe, both our U.K. and French business contributed to organic growth. And in Asia Pacific, China grew organic revenues mid-single-digits. So all in all, very good performance by the segment. Finally, in our All Other segment, we had positive organic revenue growth contributions from both our test and measurement, as well as our appliance, businesses. Segment organic revenues grew 2.6% in the quarter. As noted, test and measurement organic revenues grew a strong 8% in Q2 due to still reasonable CapEx spending for structural testing equipment in North America, Europe and China. Instron's ElectroPuls environmentally-friendly equipment continued to have strong market acceptance in the quarter. In the appliance category, organic revenues grew 3% mainly due to key energy efficiency programs with major North American customers, such as Whirlpool. The only downside on the major categories in this segment was in consumer packaging, where organic revenues declined 1%. And that was largely due to ongoing softness from key multipack beverage customers in North America and Europe. Our decorating businesses produced strong organic revenue growth in Q2. So this concludes my remarks on the segments. And I'll now turn the call over to Ron, who'll talk about the 2012 forecast. Ron?
Ronald D. Kropp: Thanks, John. The third quarter of 2012, we are forecasting diluted income per share and continuing operations to be within the range of $1.03 to $1.11. This range assumes total revenue growth of negative 1% to plus 1%, largely related to currency, as well as softening international end-market conditions. The midpoint of Q2 diluted EPS range would represent a growth of 7% versus last year. For the full year 2012, our forecasted total revenue growth is now between 1% to 3%, which is lower than our April forecasted midpoint by 400 basis points. Our forecasted EPS range for continuing operations is now $4.03 to $4.19. The EPS midpoint of $4.11 would be 10% higher than 2011, excluding the Q1 2011 tax benefit related to the Australian tax matter. This EPS benefit is $0.15 lower than our forecast from April and is driven by an $0.08 reduction from lower base business revenues, largely due to slower international end-market demand, as well as a 7% impact due to expected declines from weaker foreign currencies. An increase in expected restructuring costs took away $0.02 but was more than offset by a $0.04 benefit from year-to-date and forecasted share repurchases. I will now turn it back over to John for the Q&A.
John L. Brooklier: Thanks, Ron. We'll now open the call to your questions. [Operator Instructions] We're now ready to take questions.
Operator: [Operator Instructions] Our first question comes from Stephen Volkmann from Jefferies.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: I wonder if you could comment, please, on the acquisition pipeline, given what's going on in the global economy here. Is it sort of less likely that we're going to get things over the goal line over the next few quarters and whatever other commentary you might have in that regard?
David B. Speer: Well, Steve, I think I would characterize the acquisition activity, as -- from our standpoint, entering the year, we viewed this as a year that we're going to be challenged from a valuation metric standpoint. And that certainly has been the case. Those properties that are out there that we're interested in have had fairly high expectations in terms of valuation. That hasn't stopped us from continuing our work in those categories. But I would say, the way I would describe the acquisition environment for us right now is it's modest. We have included through Q2, I believe, about $500 million in acquired revenues and don't expect the second half to be significantly more boisterous, if you will, than what we've seen because I think valuations are the primary concern. In terms of getting things done, I think the early -- any of those that have significant European or Asia Pacific concentration require a fair amount of due diligence at the moment to really determine their go-forward positions in those geographies, and obviously, factoring in the weakness that those geographies have seen this year. But I don't think it will have a major impact on us closing deals that we have agreed upon. But I do think the market environment for us will remain challenging from a valuation metric standpoint. And that's probably our primary issue, rather than being able to look at specific geographic concerns.
Ronald D. Kropp: And I will add that we are targeting our strategic growth areas for acquisitions. As an example, we talked about last quarter, we acquired in the first quarter Brooks Instrument in our test and measurement segment, which is $200-million-plus in acquired revenues.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: Okay. That's helpful. But, David, just to clarify, do you think you can get to anything like $500 million done in the second half? That sounds like a stretch to me.
David B. Speer: Oh, no, I'm sorry. I didn't mean that, no. No, I wouldn't be able to predict the second half number at the moment. I mean, just looking at the pipeline, there's a lot of what ifs in that pipeline that are not fully qualified at the moment. So no, I would not suggest we could do $500 million in the second half. I mean, it's not impossible, but certainly not what I would call likely at the moment based on what we see in the pipeline.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: Okay. That's what I thought. And then just on the other side of this, as a follow-up quickly, I mean, the dec surfaces business has been for sale at some point. Other people think maybe it's on the shortlist now. But, boy, a strong performance from that business. And I'm wondering if that sort of changed your view of how that fits into the portfolio.
David B. Speer: From a strategic standpoint, we've maintained our position on dec surfaces since 2008, when we had made the decision then that we didn't think long-term it would fit our portfolio in terms of long-term growth opportunities. But I would tell you that they have performed very well in terms of operating characteristics along the way. They did better during the 2008, 2009 downturn than most businesses and they clearly are doing quite well this year. But strategically, it hasn't changed my view of the long-term fit of that business in our portfolio.
Operator: Our next question comes from Ann Duignan from JPMC.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Can you give us a little bit more color on the restructuring charges, on the $100 million? To the best of your ability at this point, where might that spend be most used? Is it on the strategic sourcing? Is it in one particular business? Just a little bit of color on where that money is going be spent.
David B. Speer: Well, I'll give you high-level flavor, and then Ron may have more detail to add. But I would say that the bulk of this is based on additional restructuring based on the weakness we've seen more internationally and more European as a result. There is some of that, that is based on a view of our business simplification, but not a lot. Most of it so far is based on reacting to the slower market conditions internationally, particularly in Europe. So it's obviously a step-up and a way of us getting ahead of what we think are some continuing weakening conditions that we want to be able to address. And, Ann, as you know, the ability to do that in some of the international markets has much more -- much longer impact to get the result, particularly in Europe. So we've tried to stay on top of these things and push them forward as we look at the weakness or the underlying performance in some of these market segments. But I would say that using that wonderful 80/20 term we like to use, 80% of this is focused on existing businesses and maybe 20% is focused on the combination of looking at what structural changes we're looking at making, along with some of the strategic sourcing initiatives.
Ronald D. Kropp: The segments that have a bigger restructuring spend this year in the first half of the year has been Construction, especially in Europe. In the second half of the year, the Polymers and Fluids segment will have a bigger restructuring spend. You mentioned strategic sourcing. That -- any costs, additional costs or investments there to do the sourcing initiatives is not part of restructuring. That would just be additional headcount or consulting costs, et cetera.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. That's great color. And actually, that leads me to my follow-up question, which I think, David, you probably just answered. And that is, given how well the Construction business has held up in Europe despite the starts that you talked about, and the Industrial Packaging business, are you seeing further weakness in those businesses as we speak? Is that what's led to the restructuring? And should we anticipate an accelerated decline in those businesses in the back half?
David B. Speer: No. I think as I tried to point out, it takes longer to initiate these. So there's a lot more planning that goes into the implementation of those. So many of these restructuring projects have been in the planning stages for several quarters and are just at the front end of implementation. So it's really a question of trying to stay on top of what we see as longer-term trends there. So I think we've done a good job of managing the cost portfolio there. But at some point, when you look at the market conditions and you project forward, you begin to get into the tougher, longer-term issues that restructuring brings, which is a lot of headcount, and some cases, facilities. So those take longer to implement. So it's more a question of timing, I would say, Ann, than any difference of view of how we see those markets at the moment. I do expect European construction, as John pointed out in his comments, that it's going to remain a tough environment for some time. A lot of it is based on government spending. And as we know, what's going on in Europe, there's a lot of rationalization of where the government is going to spend their money. And I think Construction will continue to have a cloud over in Europe for some time until it becomes more clear.
Operator: Our next question comes from Rob Wertheimer from Vertical Research Partners.
Robert Wertheimer - Vertical Research Partners Inc.: Just a general question on sentiment as you continue to work through the process of identifying where you can streamline, cost save, et cetera. How are your managers dealing with it? Have you had any employee turnover start ahead of it? And I mean, your margins are pretty good. I don't know whether this is getting people to be more engaged. So if you could just comment, David, on how the organization is adapting to the process.
David B. Speer: Sure. Well, let me separate that into 2 pieces, and I'll actually answer your second piece first. I think the margin performance is really not due to any advance move, if you will, on some of that. I think the margin performance -- as we recognized going into the year, this is going to be a challenging environment, and as we didn't see the kind of revenue growth that we'd expected, that we were going to have some ability to react. And so we put in place, I think, some strong cost control programs at the beginning of the year and we also counted on some significant improvement in our price cost, which we have been chasing, as you may recall, Rob, for a couple of years. And we were able to achieve that as well. So the strong operating margins, I think, are a result of the detailed planning controls that we put in place at the end of the year, which allowed us in the quarter to get a 16.5% return and some great incrementals as we experienced much weaker revenue performance than we thought, headwinds in currency and so forth. So that was independent of any of the work we've done in business simplification. I would say in the business simplification area, anytime you talk about consolidation, you talk about a change in structure, you get people concerned. At this stage, we really have not lost any significant number of people. And I think people have embraced the fact that this starts with looking at the strategic approach and looking at how we streamline our structure to be reflective of where we see our growth opportunities. And we're doing this in a rational fashion, and the operating managers are heavily participating in every step of this along the way. So we're not dictating from the corporate office that these 5 units should be combined into 1. These are the operating people. They're looking at what makes sense given the new economic environment, given the global nature of a number of our end markets and customers, and let's march through this in a logical fashion. And we're not going to make wholesale decisions that would impact their ability to serve their customers and markets. So I think given the level of change, which always brings with it some level of angst, we've done a good job of managing that and involving our key managers. And so I would say that as we approach the end of the year, we'll be in a better position to quantify some of what that will mean and we'll be able to give some examples. And you'll see, I think, the levels of involvement and participation will help us ultimately come up with the right solution and with the right metrics that we can maintain going forward.
Operator: Your next question comes from Jamie Cook from Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Two questions. One, in terms of price cost, you called out what it was in the quarter. I just want to get a sense of the benefit that you're assuming in the back half of the year and whether you're seeing any pricing pressure from your customers. And then my second question, just to follow-up on, I guess, M&A and divestitures. One, do you anticipate -- if the macro continues to decline and valuations come in, as we look out to 2013, I mean, is there a chance that you shift your focus more towards trying to do some bigger deals to take advantage of the market? And then I guess, my other question is, I guess, I'd be concerned how easy it will be to get divestitures done in this market, given the performance of your businesses and just prices people are willing to pay.
David B. Speer: I'll let Ron talk to price cost, and then I'll come back and talk a little bit about acquisition and divestitures.
Ronald D. Kropp: So as I said earlier, we had a pickup in margins of 60 basis points from price cost. That was better than the first quarter, which was 40. And really, that was driven mostly by raw material cost going down as opposed to prices going up. We've still been able to hold on to price increases that we put in place towards the end of last year in response to cost increases in most of our segments. But costs have come down significantly, especially in the resin area, which has been bouncing all around during the year. For instance, recycled PET was down 37% in the quarter, but it was up 48% last quarter. Steel was also down but to less of an extreme. So we see raw material cost continue to go down a little bit as we move through the rest of the year. So we'll continue to see a benefit, price/cost, probably a little bit higher in the third quarter than it was this quarter, but about 60 basis points for the whole year if things hold where we expect.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. And that's versus the 30 to 40 you were expecting before, right, I think.
Ronald D. Kropp: Yes, yes.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. Sorry. And then sorry, David, on the acquisitions and divestitures?
David B. Speer: Yes. Let me comment on acquisitions first. As I commented earlier, I think the environment has been one where valuations, frankly, in the first half of the year have been more challenging than I would've thought, given the market conditions. So I don't see that really changing. We have a number of nice target opportunities that we think fit strategically. The question will be, do they fit with us from a valuation standpoint? It's too early to answer some of that, but...
Jamie L. Cook - Crédit Suisse AG, Research Division: But if you did see the valuations more compelling, would you be more aggressive again on the M&A front?
David B. Speer: Absolutely. Absolutely. In fact, there are several assets that we're looking at that, given the right circumstances, we will clearly be more aggressive. No question.
Ronald D. Kropp: Especially in those areas that we've identified as strategic growth areas or emerging markets.
David B. Speer: Yes. So I -- it's hard to predict, as you know, acquisition activity because these are competitive processes. They involve buyers whose expectations change during the process. So part of our caution in not putting numbers out as we may have in the past is that the environment has changed a lot. It's hard to predict. Our hit rate in our pipeline used to be 60% to 70%. And for the last 2 years, it's been well under 50%, so hard to predict. It could be in the pipeline, but for me to be able to predict whether we can actually close it is a lot more difficult than it used be.
Jamie L. Cook - Crédit Suisse AG, Research Division: But are you -- on the divestiture front, are you concerned you're not going to get the price, I mean, that you should given the performance of your businesses in this type of market?
David B. Speer: No. I'm not concerned at all because we aren't going to sell if we don't get the right price. Because most of these are businesses that make good margins and make contributions the company, so there's no point in rushing to a sale. These are not fire sales. So if the metrics work properly for us in terms of what we think are reasonable prices, then we'll transact. If they don't, we won't. And we've walked away from proposals in the past we've had on assets that have been held for sale that we haven't transacted. And some of them have come back, one of them being a consumer packaging business that we sold earlier in the second quarter. So if the price isn't right, there's no reason for us to transact. I mean, that's part of our evaluation process, is really, what are the minimum price that we should be targeting? And what, given the market conditions, is the ideal price? And we generally end up somewhere in between those 2, but rarely would we be in a fire sale situation, where we have to transact. As you know, from our balance sheet, we've got strong operating cash flow. We don't need the cash at any particular moment in time as a result of divesting something, so we could be patient.
Ronald D. Kropp: And we've seen it's a pretty reasonable market for divestitures. Strategics are still looking for acquisitions and private equity has a lot of capital that they're looking to put to work as well.
Operator: Our next question comes from Andy Kaplowitz from Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Can you talk about the visibility you have into your welding business? It's obviously been the highlight of your global business, I think, for the last couple of quarters. What are the major OEMs telling you? Sometimes we get questions about how long can construction and ag, with the drought, hold up, and mining. What are you guys seeing?
David B. Speer: Well, we don't have lots of visibility. Our typical visibility is for the order book that we get from those types of customers, which is not a lengthy order book. On the equipment side, our order book runs in the 2- to 4-week category, not 3 or 4 months, so we don't have great forward visibility. The consumable side is probably even a little bit less than that, so I can't say we've got great visibility. But when we talk to those customers, particularly in the mining category, oil and gas, and even the ag category, we continue to get reasonable forecasts in terms of forward demand. And as I think Ron pointed out or John in his comments earlier, we had a barn burning first quarter. We had a very good second quarter but not nearly as good as the first quarter. And we could not have predicted either one of those in advance of what we actually achieved because the increase in demand from our customers occurred during the quarter, not before. So we're well positioned with those customers, but I can't say we've got any particularly good forward visibility.
John L. Brooklier: Yes. I would just add, Andy, that if you remember, to David's point, that first quarter, our organic revenue for welding was in the high-teens. This quarter, it was more like 9%. But I think we're looking on a go-forward basis at numbers that are high single-digits as opposed to something that's double-digit.
Andy Kaplowitz - Barclays Capital, Research Division: Okay. That's helpful, John. Just looking at global construction, there's obviously a lot of moving pieces here. I mean, we understand the European weakness. It was interesting, your comments on Asia maybe getting a little bit better. You've talked about Australia in the past. I guess, my question is, how much can U.S. residential improvement help offset European weakness? And how do we look at this? I know it's a balanced business. So how do we look at the balancing act that's going on here between improvement in North America, maybe Australia stabilizing and Europe getting a little bit weaker? How do you look at it?
David B. Speer: Well, first of all, let's look at the statistics. We've been on a 5-year dramatic decline in North America, to the point where 70% of our revenues in Construction now are international. So there's not enough size in the market, no matter what the housing start numbers look like in the near-term or project activity [ph] on commercial, in North America to offset major declines in Europe, where -- Europe represents 50% of the business today. So I think unlikely we're going to see that offset. I would say, long-term, that what we see emerging here in the U.S. will be very favorable obviously to our Construction business. We're not as wrapped up here in government financing in construction as they are in Europe and even in obviously Asia Pacific, particularly in China. So how these governments decide to finance construction going forward as part of their overall rationalization of their fiscal policies is going be an important determinant in how those markets recover. But the U.S. markets aren't big enough to cover for any significant decline in the European or Asia Pacific markets.
Andy Kaplowitz - Barclays Capital, Research Division: That's fair. But have you seen stabilization in Asia Pacific? I think you kind of alluded to it earlier. How is that region for you?
David B. Speer: I think John's comments were Asia Pacific but largely in Australia, which represents about 70% of our Asia Pacific Construction business. So China, I would say, continues to -- it's going to depend on, in my view, in China, more what they determine they're going to do with the infrastructure spending there over the course of the next several years, as to how that plays out. They have been aggressive in the past. The question is how aggressive they're going be in the future. But as you know, most of the major construction activity in China is financed by the government.
Operator: Your next question comes from Deane Dray from Citi.
Deane M. Dray - Citigroup Inc, Research Division: Some questions on base business. Can you comment on the progression in the quarter versus expectations? It looks like, overall, you came in below the low end of your range. But how did the months play out?
David B. Speer: There was no particular trend. I think if you look at things on an equalized day basis and you look at things on a seasonality basis, no particular...
Ronald D. Kropp: It's very uneven. It was -- June was stronger than May. April was stronger than May. May was weaker.
John L. Brooklier: We clearly didn't see any deceleration -- big deceleration in June, Deane, which probably, I think, a lot of people would've expected. So I think the numbers, to David and Ron's point, the numbers are very, very uneven. And we're heading into a quarter right now, into the third quarter, where numbers coming out of Europe are going to be not only what's going on with end-market demand, but they're always typically all over the place in the summer.
David B. Speer: The seasonality in Europe in third quarter is obviously a wildcard on top of what already is a weak market, so -- but no, I wouldn't say we saw any particular trends in Q2 that we could highlight.
Deane M. Dray - Citigroup Inc, Research Division: And then how about what's embedded on base business for third quarter for the range, as well as for the year?
David B. Speer: Third quarter range is revenue -- base revenue growth of minus 1% to plus 1%.
Deane M. Dray - Citigroup Inc, Research Division: So that's total revenue.
David B. Speer: That's total, yes.
Deane M. Dray - Citigroup Inc, Research Division: But what's the base?
Ronald D. Kropp: The base is in the 2.5% to 3% range.
Deane M. Dray - Citigroup Inc, Research Division: Positive?
David B. Speer: Yes. So obviously, the big vertical...
John L. Brooklier: There's a plus in front of that number.
Deane M. Dray - Citigroup Inc, Research Division: Okay. Just checking. And then how about for the year?
David B. Speer: The big variable in Q3 will be again currency.
Deane M. Dray - Citigroup Inc, Research Division: Understood. And then for the base business for the year, the updated guidance?
Ronald D. Kropp: 2% to 3%.
Deane M. Dray - Citigroup Inc, Research Division: Good. And just -- and then last one for me, other income came in higher as a benefit. Was there any one-timer in there, any adjustment? And can you just flesh that out, please?
Ronald D. Kropp: We had a few one-timers, the biggest one being a sale of a building.
Deane M. Dray - Citigroup Inc, Research Division: And so how much -- so were there other gains in there?
Ronald D. Kropp: Yes. There was a gain of about $6 million. That was the biggest item.
Operator: Our next question comes from Walt Liptak from Barrington Research.
Walter S. Liptak - Barrington Research Associates, Inc., Research Division: Okay. I just wanted a quick follow-on to Deane's question about -- I wondered what your Europe assumptions were for the third quarter and for the full year. It's down 1% -- 1.5% organic. It's obviously negative but not as bad as I would've thought.
Ronald D. Kropp: Yes. What we're seeing by region is pretty similar to what we saw in the second quarter, where North America is going be stronger; Europe is going to be down 1% to 2%; Asia Pacific, flat to plus 1%. So pretty similar demand rates from a base side from what we saw in the second quarter.
David B. Speer: We don't really have a catalyst, Walt, that's going to change the profile of what we saw in Q2 in Q3, or for that fact -- for that matter, going forward for the balance of the year.
Walter S. Liptak - Barrington Research Associates, Inc., Research Division: Okay. And I wonder if you could just talk a little bit about what you're seeing in Europe, specifically in the welding business, demand trends, pricing, profitability.
David B. Speer: Welding, Europe, let's see. We have...
Walter S. Liptak - Barrington Research Associates, Inc., Research Division: Yes. Organic internationally, you said, was up 2%. But I presume that Europe was probably down.
David B. Speer: No. So Europe was up. Europe was up 3%, I think.
John L. Brooklier: No, Europe was up more than that.
David B. Speer: It was more Asia Pacific that was down in international.
John L. Brooklier: Now remember, while we have -- we have a smaller European presence, so our Europe numbers were actually growing at a rate of double-digit, at least for the month of June.
Ronald D. Kropp: Yes. For the whole quarter, it was up 3.7%, welding, Europe.
Operator: Our next question comes from Henry Kim from UBS.
Henry Kim: If our math is correct, the midpoint of total revenue guidance for the full year and using midpoint at the third quarter implies fourth quarter revenues up 4% year-on-year. Is it possible to discuss factors that could drive sequential acceleration from the third quarter to the fourth quarter?
Ronald D. Kropp: Yes. That's not what we have, so I'm not sure how you backed into that. But we're looking at the third quarter overall revenues being basically flat, driven by currency. But from a base side, as I said, we're up, where we've got 2.5% to 3% up. And it's a little bit weaker in the fourth quarter partly due to the comps.
David B. Speer: So we don't have the granular details of the fourth quarter here to talk about obviously. But I would say from a global perspective, we don't see any significant change from Q3 to Q4 in market or demand activities. So there may be some nuances based on comparables, as Ron pointed out, but no significant acceleration, if you will, in demand is part of our current full year outlook for Q4.
Ronald D. Kropp: Currency is a little bit less of a factor in the fourth quarter.
Henry Kim: Okay. That's fair. As a follow-up, is it possible to talk about how customer and channel inventory levels look right now, and any stocking or destocking embedded in your updated guidance in front of 2013?
David B. Speer: No. None that is worthy of any note, for sure. We would've expected to have our original demand forecast materialize, to see some of that occurring in Q2, which obviously did not happen. And given the current demand forecast that we see across these markets, we don't see any real stocking; restocking; or for that matter, any significant destocking at this stage. We haven't experienced it and we haven't heard a lot about it. Let's put it that way.
Operator: Our next question comes from Robert McCarthy of R.W. Baird.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: John, before I ask my question, would you mind repeating what the gross figure was for North American Construction sales into residential? Was that a double-digit number?
John L. Brooklier: Yes, 13%.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: 13%. My first question has to do with share purchases. Can you tell us how many shares you've repurchased, either year-to-date or in the second quarter? And could you comment on full year -- in the past, you've commonly talked about a range for targeted spending on repurchases. I wondered where you're at.
Ronald D. Kropp: So as I said earlier -- and I don't have the exact share number. But for the first half, we spent about $1 billion and embedded in the forecast, which is included in the $0.04 EPS benefit that we bridged on the slide -- embedded in the forecast is a total year spend of $1.3 billion. So you can back into the shares based on the share price over the year, but I want to say it's something like close to 20 million.
David B. Speer: I think it's 18 million, somewhere in the 18-million to 20-million range.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: For the full year.
David B. Speer: No.
John L. Brooklier: No, that's the year to date.
David B. Speer: So far, year-to-date...
Ronald D. Kropp: So far, yes.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: All right. And you commented, John, when you were talking about Industrial Packaging, that in the stretch business, equipment sales led the growth. Does that mean consumables was down? And can you talk about what Signode saw in consumables versus equipment comparison, the stretch consumables?
John L. Brooklier: Stretch consumables were -- stretch consumables would have been lower. It was growing at a lower rate than the equipment. But clearly, the equipment was much stronger on the stretch side. I think you've seen the same dynamics on the Signode side, too, were...
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: So I'm guessing then the implication would be that the weakness in response to macro fundamentals hasn't shown up as much in the equipment business yet, maybe because of order backlog. And then that is what we should expect for the second half.
John L. Brooklier: Well, I think -- again, I think it's really more geographical, Rob. I think North America, we're seeing trends that are more consistent with consumable and equipment sales. We were up 3% to 4% North America and we were down at a rate of about 4-ish on the European side. So I think it really has more to do with more macro trends in the geographies we're seeing as opposed to the specific categories.
David B. Speer: Rob, the other thing I would note is about 80% of our equipment sales are replacement. So I think it's probably an indication that people reached a point at which some of these pieces of equipment needed to be replaced or upgraded for productivity reasons or cost reasons. And the fact that they haven't canceled orders or delayed orders is an indication that there's a reasonable long-term view of the need for this type of equipment. And normally, the equipment would precede a big increase in consumable volumes. So it's a typical pattern that we see equipment rise, and then consumables rise secondly. And it's the same picture on the way down: equipment drops off first and consumables afterwards.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And lastly, in the Power Systems and Electronics segment, John, you talked about high single-digit expectations for the welding business in the second half. Second quarter electronics was up double-digits. Is that something that you expect to be sustained in the second half?
John L. Brooklier: Well, we know that in our electronics assembly segment of total electronics that we have orders in place that are significant with a key customer. So we have a relatively high level of confidence now. But I think the other -- what I call the other electronics category, which is more legacy, more component-related, that will continue to be under pressure.
David B. Speer: Yes. I would say that yes, we have a nice Q3 runway in that category. But beyond that, it's hard to see. And as John pointed out, it's based on some significant orders with a handful of key accounts. But the general electronics category, particularly that based on computers, is really challenged.
Operator: Our next question comes from Nigel Coe, Morgan Stanley.
Nigel Coe - Morgan Stanley, Research Division: Yes. So we've covered a lot of ground already. Can I just clarify, Ron -- I think you mentioned overseas cash balance was $1.7 billion. Is that right?
Ronald D. Kropp: That's correct.
Nigel Coe - Morgan Stanley, Research Division: So all your cash is overseas right now.
Ronald D. Kropp: That's correct.
Nigel Coe - Morgan Stanley, Research Division: Okay. Just wondering, how does that play into your repurchase plans for the second half of the year? I mean, you got above $1 billion this year. You've done $1 billion so far. Do you plan to do more? Or do you plan to rebuild that U.S. cash balance?
Ronald D. Kropp: Well, the way our capital structure works, like most U.S. companies, is we have to do share repurchases and dividends out of the U.S. So when we put together our plans for dividends and share repurchases, we do that based on where we expect to generate the cash and how much U.S. cash we expect to have and what the appropriate debt level that we want to maintain in the U.S. is. So the $1.3 billion in share repurchases that I talked about, which is the current full year forecast, that's a reflection of all those inputs. It does not consider that we would repatriate any of that $1.7 billion at this point. We certainly could if we needed to, but there would be a tax cost to that at the time we did it. So that assumes that we continue to reinvest that cash overseas in emerging markets and other ways, but not bring it back to the U.S.
David B. Speer: And obviously, the other thing that it looks at, as Ron said, where is the cash coming from? And from our forecast, you could tell we're talking about stronger performance in the U.S. than we are in international markets. So all these things are factored into how we look at the overall capital allocation. But with a $2-billion expectation of free cash flow for the year, as I've indicated, obviously, the second half of the year cash flow is much stronger than the first half, which we would expect. We wouldn't expect to see any significant change in our U.S. debt levels as a result of this. And certainly, as Ron pointed out, no plans to do any significant repatriation.
Ronald D. Kropp: And I will point out, as we've had divestitures, for instance, the finishing business, to the extent we get net cash proceeds after tax in the U.S., we're redeploying that and buying back shares to offset some of the EPS.
Nigel Coe - Morgan Stanley, Research Division: I mean, U.S. cash generation is not a problem at all. But I'm just wondering, the surplus cash you generated in the second half of the year, you seemed to have a bit more of a cautious tone on M&A. Do we use that surplus cash to repurchase shares? Or do we rebuild U.S. cash balances?
Ronald D. Kropp: Well, we typically would not run U.S. cash balances. We're going to be stoking that fire [ph] overseas.
Jamie L. Cook - Crédit Suisse AG, Research Division: That's good. And then just a quick one. What euro rates are you using for the second half of the year?
Ronald D. Kropp: We are using $1.23.
Operator: Our next question comes from Eli Lustgarten from Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: Just one clarification. The actual shares outstanding at the end of the second quarter is something like 468 million or 470 million or something like that, if you average it.
Ronald D. Kropp: I'm not sure have that handy.
John L. Brooklier: We'll get back to you.
Eli S. Lustgarten - Longbow Research LLC: Okay. And can we talk a little bit -- 2 questions. One is for your guidance that we talked about, relatively flattish sales. And you just gave us a little bit gain on -- in base, offset by currency. Could you see anything that's changing the profitability that we saw in the second quarter at this point? In other words, with all the changes going on, will you be able to -- you expect to be able to hold most of the profitability in the second quarter at this point?
Ronald D. Kropp: Yes. As we talked about, we had very strong operating performance in the second quarter. Our base incrementals were significantly higher than even 50%, typically run 35% range. And as we look out the rest of the year, we expect to continue to perform north of 50%.
Eli S. Lustgarten - Longbow Research LLC: So nowhere in any business -- everything looks like it's holding together. And can you talk specifically in the transportation sector, where with the decline in European auto and probably not going to get better, are you seeing any changes in demand? I mean, is the U.S. market able to sustain itself in this crazy environment through the second half of the year and you're seeing greater weakness in Europe? Or is it continuing in any change in China?
John L. Brooklier: I think that as we reported in Q2, we saw good performance in North America. Asia Pacific continues to be strong. China is still good. India is still relatively good. You're right, Eli. The major weakness is in Europe. I don't think our auto people are expecting significant deterioration beyond the numbers they're seeing right now. I mean, it could go down a couple more points in Europe. Maybe 7 turns into 8 or 9 on a decrease on builds.
David B. Speer: But I think the biggest story for us, Eli, in Europe has been penetration gains. John had pointed out in the quarter, Q2, the European build was down in the 8% range. We were up 1%. So we have had significant penetration gain. And obviously, as those platforms continue to roll out, we'll enjoy a penetration gain in subsequent quarters as well. China is an organic growth story. We've been aligned with more of the domestic manufacturers now, so we have more content there. So that's really new growth for us, if you will, to a large extent in China. And here in North America, we have continued the normal penetration process, and it pays off obviously. And North America car business in terms of sales and production has been clearly more robust than what we thought it was going to be, entering the year. So I think the transportation outlook for us is reasonably solid going forward on the OEM basis.
Eli S. Lustgarten - Longbow Research LLC: Do you have a forecast for builds in North America and Europe at this point, what has changed [ph]?
John L. Brooklier: The latest forecast we have is Europe is roughly the same and North America is still growing at high double -- high-teen numbers. We're going to get end it there. We're at the top of the hour. We thank everybody for participating in the call, and I look forward to talking to a number of you later today. Thank you.
David B. Speer: Thank you.
Operator: Thank you. This concludes today's conference call. You may disconnect at this time.